Operator: All participants, please standby; your conference is ready to begin. Good morning, ladies and gentlemen. Welcome to the Air Canada Fourth Quarter and Full Year 2020 Conference Call. I would now like to turn the meeting over to Kathleen Murphy. Please go ahead, Ms. Murphy.
Kathleen Murphy: Thank you, Alina, and good morning, everyone, and thank you for joining us on our fourth quarter and full year 2020 earnings call. With me this morning are Calin Rovinescu, our President and Chief Executive Officer; Mike Rousseau, our Deputy Chief Executive Officer and Chief Financial Officer; Lucie Guillemette, our Executive Vice President and Chief Commercial Officer; and Craig Landry, our Executive Vice President of Operations. On today's call, Calin will begin by giving you an overview of the impact of the COVID-19 pandemic and related travel restrictions on Air Canada, what we have been doing in response and how we view the future. Lucie will touch on travel demand, cargo, and loyalty. And Mike will provide you with visibility on current plans regarding cash burn rate and liquidity before turning it back to Calin. We will then open it up to questions from equity analysts followed by questions from fixed-income analysts. Before we get started, please note that certain statements made on this call are forward-looking within the meaning of applicable securities laws. This call includes references to non-GAAP measures. Please refer to our fourth quarter press release and MD&A for cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP results. I will now turn it over to Calin.
Calin Rovinescu: Thank you, Kathy. Good morning, everyone, and thank you for joining us on our fourth quarter and full year 2020 earnings call. In the fourth quarter of 2020, we recorded negative EBITDA of CAD728 million and an operating loss of CAD1 billion. Operating revenue declined 81% over the fourth quarter of 2019. For the full year, Air Canada recorded negative EBITDA of slightly over CAD2 billion and an operating loss of nearly CAD3.8 billion. Operating revenue for the year fell approximately 70% to CAD5.8 billion from CAD19.1 billion in the prior year. While undeniably grim, results such as these are being reported the world over in our industry due to the impact of COVID-19 and extremely onerous government imposed travel restrictions, quarantines, and advisories. The six largest US carriers recently reported cumulative net losses of US $34 billion for 2020. And in Canada, we continued to contend with a patch work of new and ever-changing travel restrictions that are stifling travel demand, impacting our ability to operate or plan and even preventing us from formulating reliable financial guidance regarding the usual metrics. We are engaged directly, and through our industry association, in discussions with governments and other key stakeholders about a safe restart of aviation, with more effective alternatives to blanket travel restrictions, especially as the pandemic begins to recede and we exit this crisis as we surely will. In the meantime, rather than allowing ourselves to be paralyzed by COVID's calamity [ph] effects, we have been tenacious in our focus, implementing and refining an extensive COVID Mitigation and Recovery Plan. It entails all aspects of our business from our industry-leading additional safety measures for customers and employees to diligently managing costs and seeking incremental revenue opportunities, to raising significant liquidity from capital markets, to setting in place the building blocks for success in the post-pandemic environment. Throughout the past year, we've been an industry leader in safety. We took immediate and decisive steps such as halting flights to China, requiring facial coverings for our customers, and taking customers' temperature prior to boarding well before federal government mandates to do so. Early on, we put in place an industry-leading multi-layered bio-safety program called Air Canada CleanCare Plus. We've also been early adopters and supporters of science-based measures, including various forms of COVID tests. We sponsored a study that was completed during the quarter and that tested international arrivals at Toronto Pearson Airport. It was the largest study of its kind in the world and was done in partnership with McMaster HealthLabs and the Greater Toronto Airports Authority. Preliminary results based on 20,000 tests found 99% of participants tested negative for COVID-19. Of the 1% who did test positive, 70% were detected on arrival, while the remaining 30% were detected by a test seven days later. This shows that testing is highly effective and that a 14-day quarantine is unnecessary for more than 99% of passengers and actually is much less effective than rigorous testing and tracing. The federal government, which joined the study when it was already underway, is now using these results as it evaluates new testing frameworks for the country. This is very important, for while vaccines hold great promise, we believe effective and robust testing is far and away the most immediate and practical way to protect communities, restart the economy by allowing a return to some of our normal activities and restore travel. For this reason, we continue to explore new testing technologies and protocols, including rapid PCR and rapid antigen tests for both employees in the workplace and potentially for customers. Another fundamental component of our COVID strategy is having the financial, wherewithal to withstand the protracted downturn. We have been intensely managing expenses, significantly reducing fixed costs, rationalizing our route network and building up our liquidity position. During the fourth quarter, we closed a share offering that raised an additional CAD850 million and concluded a sale and leaseback of nine Boeing 737 MAX for proceeds of CAD485 million. We ended the quarter and 2020 with unrestricted liquidity in excess of CAD8 billion despite the massive cash burn during the year. Our ability to raise capital is evidence, investors have shared our confidence in the resiliency of Air Canada and in its long-term prospects. We've also been developing new revenue opportunities, such as the expansion of Air Canada Cargo, which Lucie will discuss later. Cargo will be an increasingly important part of Air Canada's future going forward. We continue to pursue key programs that will be foundational to our long-term success. This included the completion of our new reservation system early in 2020 and the launch in November of our transformed Aeroplan program. Each of these will be good for customers, employees, and other stakeholders. We will also equip us to compete more effectively in the post-pandemic marketplace. However, we are also a global carrier, competing against other global carriers in a highly competitive and capital intensive industry. Air Canada's relative strength must be seen in the context that the advantages are main competitors from other countries enjoy in terms of government support. IATA estimates governments around the world have provided in excess of CAD200 billion to their domestic carriers in sector support, recognizing their key economic contributions, while Canada remains the lone G7 country that has thus far not provided any sector-specific support to aviation, thereby threatening, in the long term, competitiveness of Air Canada's airline industry. I'm, however, very encouraged by the constructive nature of discussion that we have had with the Government of Canada on sector-specific financial support over the last several weeks. While there is no assurance at this stage that we will arrive at a definitive agreement on sector support, I'm more optimistic on this front for the first time. Late yesterday afternoon, the Government of Canada approved our proposed acquisition of Transat, subject to a series of detailed conditions. We understand that many of you may have questions around the Government of Canada approval, our earnings release this morning, the European Commission status or next steps around our agreement with Transat. The proposed acquisition is a complex and sensitive matter, and our ability to expand on the current level of disclosure is framed by various confidentiality, governance, contractual, and other considerations. As such, we will not be providing any additional information at this point in time. I'd like to conclude this portion of my remarks by expressing my appreciation for and deep gratitude to our employees who, despite the year of turmoil and uncertainty, have demonstrated their professionalism and resilience and maintained their focus on serving our customers and transporting them safely. Over the past decade, as Air Canada went from strength to strength with its successful transformation, our employees always show their unwavering commitment to our long-term vision, to our customers, and to our airline's success. But characters only truly revealed when you encounter adversity and out of adversity comes strength. I'm very proud that despite the year-long ravages of COVID-19, our employees' dedication and professionalism remain unshaken and their determination to overcome the pandemic is now stronger than ever before. And with that, I will turn it over to Lucie.
Lucie Guillemette: Thank you, Calin, and good morning, everyone. To start, I'd like to thank the incredible people across our airline for their resilience and commitment, while we continue to navigate through the devastating impact of the pandemic. Passenger demand in the fourth quarter continued to be dramatically impacted as many countries coped with a second wave of COVID cases. As a result, our passenger revenues in the quarter decreased by 88%, while operating 23% of our capacity compared to the same quarter in 2019. These results closed out the most challenging year Air Canada and our industry have ever faced. Our passenger revenues for the year, which eclipsed CAD17.2 billion in 2019, dropped by over 75% or CAD12.9 billion, which is even more staggering when considering the negative impact of the pandemic and travel restrictions did not begin until March. Turning the corner into the first quarter of the New Year, where we were planning a significantly reduced operation to some destinations, including Mexico, Costa Rica and the Caribbean, we have roughly suspended all flights to this region for travel until April 30. Together with the other Canadian Airlines, we agreed to do this at the request of and to support the Government of Canada in its effort to curb the spread of COVID-19 and its variant and address concerns around the spring break travel. Our focus quickly turned to repatriation efforts to bring Canadians home. The suspension of our sun network accompanied the announcement of two new major travel restrictions. Late January, a new testing protocol was introduced requiring all incoming passengers to Canada to provide a negative COVID test prior to boarding. And more recently, the Canadian government announced the implementation of mandatory testing upon arrival with an up to three-day hotel quarantine at the traveler's expense while they wait for their test results. Following both these announcements, we saw an immediate impact on rate of cancellations for bookings on hand as well as further slowdown for future bookings. In order to mitigate further cash burn and best align our capacity with new levels of anticipated demand, we immediately announced further cuts to our plan to first quarter capacity. In the first quarter of 2021, we now expect to operate approximately 17% of our capacity compared to the same quarter in 2020 and approximately 15% when compared to the same quarter of 2019. We will continue to dynamically adjust capacity and take other measures as required. We have been strong advocates of testing and will continue to seek all measures possible to ensure the safety of our employees and of our customers. While it is widely recognized that international travel is linked to less than 2% of COVID cases in Canada, it is also important to note that the new measures are in addition to the travel restrictions that the Government of Canada has had in place since March 2020, which are some of the most stringent in the world. This is an important factor when considering the difference in market recoveries between Air Canada and the major US Airlines and underscores why this is not an equitable comparison. Our reality is that even domestic travel remains largely stifled with the Atlantic Provinces and Manitoba still requiring a 14-day quarantine for interprovincial travelers. Foreign nationals have been barred from entering the country since March for nonessential reasons and all arrivals in the country, including Canadians have been required to quarantine for 14 days. In addition to the multiple layers of travel restrictions in place, Canadians have also been warned not to travel by both the government and the media. For additional context, many of our domestic competitors in Canada were forced to cease operations for a period of 2020. However, as these restrictions are eased to provide for a safe path to recovery and once vaccines are widely distributed, we are confident we will retain our market leadership position. Prior to the pandemic, we successfully and consistently executed on our commercial strategy. We developed competitive advantages that will be foundational to our recovery and will equip us to emerge stronger and nimbler. We are ready to build back our airline and welcome pent-up customer demand. We understand recovery will take time and we will proceed strategically, always realistic yet optimistic. Our modern and efficient fleet has been further simplified with fewer fleet types overall and is going to be a competitive advantage in our recovery. Our Boeing 787 aircraft remains the cornerstone of our international fleet, serving the hub-to-hub route and select core markets that make up our current skeleton network. Within North America, we are fully leveraging our new Airbus 220 aircraft and we welcome back our Boeing 737 MAX into service on February 1 after received all the necessary regulatory approvals. These aircrafts represent the backbone of our fleet and will enable the gradual redevelopment of our network. Throughout the pandemic, our agility has been on full display and our ability to accurately and effectively allocate capacity to see unique market opportunities will be pivotal as various customer segments begin to recover. In light of the more resilient visiting friends and relatives, or VFR market segment, we entered into a new commercial agreement with Qatar Airways, facilitating our nonstop service from Toronto to Doha, which commenced in mid-December. In addition to Doha, we will be launching our seasonal nonstop service to Cairo from Montreal this summer to serve another market with a high concentration of VFR traffic. In December, we offered customers our all business class Air Canada jet's experience to popular holiday destinations in the sun and US markets. This initiative, along with our expansion into unique markets, illustrates our agility and our ability to quickly pivot and capture opportunities that arise. With customer and employee safety at the forefront, we have demonstrated industry leadership in developing our CleanCare Plus program. We've also undertaken several medical collaborations to continue advancing biosafety across the customer journey and our business, including with the Cleveland Clinic to advise on our efforts and with Shoppers Drug Mart to provide our customers the opportunity to take a pre-departure COVID test at select locations in Ontario, BC, and Alberta among several other innovative collaborations. We are also the first Canadian Airline to offer customers the safety and convenience for boarding using facial biometrics. The technology is now available for customers departing from San Francisco International Airport, and we plan to expand it to other US airports soon and we will explore viable options for expansion into Canada. To recognize our achievements in biosafety, last month, we received the Diamond certification from the Airline Passenger Experience Association or APEX. This unrelenting focus on safety will remain a focal point to our product offering, and we will continue to strive to be leaders in deploying biosafety technology as it becomes available. In November 2020, we successfully launched our transformed Aeroplan program and a seamless cut over to state-of-the-art technology platform, delivering what we believe to be best-in-class loyalty program, which will serve as another foundational element to our recovery. The program has garnered very positive feedback in engagement since its inception. During the quarter to support our loyalty efforts, we secured additional strategic anchor partnerships, including with JP Morgan Chase in the US. These new partnerships will deliver loyalty member growth and additional revenue and we look forward to revealing more of them in 2021. Looking to Aeroplan's performance in the fourth quarter, member engagement and activity continued to show resiliency. Co-brand credit card spend continues to recover with categories most impacted by the pandemic such as travel, largely offset by other categories. For example, retail e-commerce. Overall spend for the quarter was within 13% of last year's level, while card retention rates continue to be in line with historical norms. Looking to our cargo performance, our cargo revenue of CAD286 million in the fourth quarter represented an increase of CAD100 million or 53% compared to the same quarter in 2019. With global airfreight demand remaining strong, we ended the year having operated over 4,200 all-cargo international flights. In December alone, we operated over 150 all-cargo flights per week using a combination of Boeing 787, Boeing 777 aircraft, as well as four converted Boeing 777 and three converted Airbus A330 aircrafts. This line is necessary to support our customers during the peak holiday season, demonstrating our commitment to serving our customers and fulfilling their needs by maintaining the critical airfreight supply chain in the midst of the pandemic. As a result of our quick pivot to all-cargo flights at the onset of the pandemic and with close coordination in partnership with our customers, our cargo business delivered more than CAD920 million of revenue in 2020 or 28% from 2019. As we discussed last quarter, we are very excited with our entry into e-commerce sector, launching our first deliveries directly to people's homes in the fourth quarter. This program in cooperation with local retailer takes advantage of our domestic passenger network, facilitating the end-to-end distribution of e-commerce goods across Canada, and offers logistics and delivery solutions for online retailers that are simply faster and easier than what's available to Canadian online shoppers today. We expect to officially launch a new branded platform soon. We intend to keep building the cargo business, and last quarter, we announced our plan to convert and utilize our own Boeing 767 aircraft to dedicated freighters. Since our announcement, we've worked with our pilot group to help facilitate a flying structure that will allow us to effectively compete in the market and reached an agreement with our pilots in the quarter in support of this initiative. Our first two freighters are expected to be in service in time for this year's fourth quarter peak airfreight season. In closing, I'd like to reiterate that Air Canada's commercial foundation has arguably never been more solid than it is today. For the first time in nearly two decades, Air Canada will have a fully modernized narrow-body fleet comprised of the versatile and fuel-efficient Airbus 220 and Boeing 737 MAX. These will allow us to operate within the domestic and transborder market with compelling economics. Our wide-body fleet has best-in-class seating density with the lowest dependency on premium revenue, which allows us to excel in a recovery period where VFR and leisure travel rebound quickest. Our hubs of Toronto, Vancouver and Montreal each have a large and diverse multicultural population base that enables a quicker recovery relative to competing hubs on the North America continent. Unlike Australia and New Zealand, Canada's geography sits right in the middle of two of the busiest travel quarters in the world; in the US to Europe and US to Pacific market. Nearly all commercial flights on these segments overfly Canadian airspace and we will continue to push to ensure we receive our fair share of these traffic flows through our hubs. This represents not only a major element of our recovery strategy, it is also an example of how Canada as a country can best compete in the global aviation market. We also have solid global airline partnerships, namely in the form of our Transatlantic A++ joint venture with the Lufthansa Group and the United Airlines, which will ensure we access as many markets as possible on a one-stop basis as we seek to rebuild our network over the coming years. Our services to the Lufthansa Group hubs in Europe have consistently performed well for us throughout the decades, and we expect this to continue for the foreseeable future. As mentioned on previous calls, Air Canada is seeking to add additional global airline partnerships, which will further propel our recovery. Despite the temporary grounding of Air Canada rouge, it will continue to play a major role in our network with particular focus on North America leisure market, where it helped us sustain and profitably grow our leisure flying over the decade. Lastly, as I've mentioned, our investments in cargo will allow us to further diversify and add additional strength to our revenue streams and ensure we capitalize on the booming global e-commerce rate segment. With this solid foundation coupled with customer experience enhancements achieved through the launch of our new reservations and departure control systems, I can unequivocally say that Air Canada is ready for the recovery and well positioned to compete in the post-COVID environment. We are very much looking forward to welcoming our customers back on board. With that, I will pass it off to Mike.
Mike Rousseau: Thank you, Lucie. And I would like to thank everyone for joining us on the call today. I offer a heartfelt thank you to our employees for their deep commitment and hard work throughout the very challenging 2020. Your unwavering dedication to our customers in the airline has been and will continue to be a key strength and instrumental in our recovery. In the first quarter of 2020, we initiated company-wide fixed cost reduction and capital reduction and deferral program as a result of COVID-19. Our initial goal was CAD500 million. I'm pleased to report that we completed this program, having achieved reductions of deferrals of CAD1.7 billion for 2020. Fixed costs were reduced in a number of areas including wages and salaries, maintenance, airport user fees, real estate, technology and regional airlines. Improving productivity and processes also contributed to lowering our fixed cost structure. This is certainly our objective as we recover to keep the majority of the fixed cost that we've eliminated from creeping back in, thereby lowering our breakeven point and enhancing operating margins. We have an incredible team in place dedicated to pursuing additional cost reduction initiatives for cash preservation, and this focus will continue into the future. Clean management and disciplined cost control are part of our DNA and our key elements of our recovery plan. Our investments in more efficient aircraft, our decisions to aggressively retire older, less-efficient aircraft, and our investments in key customer-facing technologies such as the Aeroplan and passenger sales booking systems, and further streamlining and enhancing airport operations also contributed and will continue to lower our fixed operating expenses. As we adjust capacity to better align with the market, our team remains centered on managing fixed and variable cost efficiently and assessing any opportunity we have for diversifying our operating revenues. I will touch now briefly on our operating expenses in the quarter. On a capacity reduction of 77%, excluding depreciation, amortization and special events, fourth quarter 2020 operating expenses decreased almost CAD2.2 billion or 59% from the same quarter in 2019. Wages, salaries, and benefits were CAD507 million or 38% below the fourth quarter of 2019, driven by a 46% decline in our full-time equivalent employees. The major management and front-line workforce reductions we completed in 2020 were a difficult, but necessary step in reducing cost and preserving cash. In the fourth quarter of 2020, we concluded two financing transactions, the first being the sale and leaseback of nine Boeing 737 MAX for a total proceeds of CAD485 million, and towards the end of the quarter, an equity offering for proceeds of CAD850 million. And then subsequent to year-end, we raised an additional CAD62 million through the exercise of the overallotment option by the underwriters. Furthermore, we recently extended the maturities of our US $600 million and CAD200 million revolving lines of credit by one year. Since the pandemic began, we have raised almost CAD7 billion through drawdowns of credit facilities, secured financings, equity and convertible note offerings, and the sale leaseback transactions I just mentioned. We ended the year with CAD8 billion of unrestricted liquidity, providing us operational flexibility. This is certainly supporting our COVID-19 recovery plan. Our unencumbered asset pool excluding the value of Aeroplan, Air Canada Vacations, and Air Canada Cargo totaled approximately CAD1.7 billion at December 31. This pool is comprised of accounts receivables, spare engines, spare parts inventory, some aircrafts, simulators and real estate. The decrease of approximately CAD100 million in the value of this pool since we last reported this number in November was primarily due to the impact of a stronger Canadian dollar versus the US dollar. We are certainly confident that we can utilize this collateral package and other assets should we need to access additional financing facilities. Turning to cash burn; in the fourth quarter of 2020, net cash burn of CAD1.4 billion or approximately CAD15 million per day on average was in line with our expectations. Net cash burn after including proceeds of the aircraft financing related to the delivery of the five Airbus 220 aircraft in the fourth quarter of 2020 was CAD12 million per day on average. For 2021, we've updated our definition of net cash burn to include net financing proceeds received related to aircraft deliveries, as these proceeds reduced net cash flows related to investing activities. Looking forward, first quarter, we estimate net cash burn of CAD15 million to CAD17 million per day on average. This net cash burn projection includes CAD4 million per day in lease and debt service costs and CAD2 million per day in net capital expenditures. The increase projected net cash burn versus the fourth quarter, average net cash burn of CAD12 million per day is primarily due to lower EBITDA and lower advance ticket sales and other working capital items. In addition, the net capital expenditure increased CAD1 million per day compared to the fourth quarter of 2020. Just turning to pensions; at the end 2020, Air Canada had access of CAD23.9 billion in its defined benefit pension plans, more than double what they were in 2009. And the plans continue to see strong investment returns in 2020 with an average rate of return of 17.6% at first docile [ph] performance. As you know, several years ago, we implemented a new strategy focused on reducing the risks associated with our pension plans by matching the pension liabilities with fixed income products, reducing a significant portion of the interest rate risk associated with these plans, we're better diversifying our return seeking portfolio to continue generating strong returns used to pay pensions. This risk mitigation strategy has been a success. Not only does it help protect employee and retard defined benefit pensions, but it resulted in our domestic registered pension plans reporting solvency surpluses over the last five years, which in turn reduces our annual pension funding cost. In fact, we even won the Pension Risk Management award in 2020 due to the success of our strategy. On a preliminary basis, at the start of 2021, the aggregate solvency surplus in our Canadian defined pension plan was CAD3 billion, an increase of CAD400 million from January 1, 2020. Before turning it over to Calin, I'd like to thank employees once again for their dedication and hard work. I'm confident that together, we can successfully manage through these tremendously challenging times and rebuild Air Canada into global champion. I look forward to my new role as President and Chief Executive Officer of Air Canada. It has truly been a privilege to work with Calin over the last several years, and I'm extremely grateful for his vote of confidence and that of the Board of Directors. With that, I'll turn it back to Calin.
Calin Rovinescu: Thank you, Mike. As you are all aware, this is my final analyst call before my retirement. So, it seems appropriate that I conclude with a few remarks on why I'm absolutely confident about the future of our company under the extremely capable leadership of Mike and the entire senior leadership team and by the very strong financial position we managed to achieve. Above all, it must be remembered that the effects of COVID-19 are transitory, where the solid foundation built over the past 12 years are permanent. Our airline has been transformed in all its aspects. It will emerge from the pandemic, still a Canadian global champion for the powerful footprint and brand. There is little doubt that we will rebuild our global network. Over the past decade, we had effectively doubled our airlines reach to more than 100 international destinations before COVID-19 forced a retrenchment. A retrenchment that I know is temporary. At the peak, we were one of a handful of carriers to serve all six inhabited continents and we will return to this again. Already, even amidst the seemingly relentless cutbacks, we have begun taking tentative steps such as our new partnership with Qatar Airways and a planned new service to Cairo. Helping in the rebuild will be our Star Alliance partners and our revenue sharing joint venture with Air China across the Pacific and A++ on the Atlantic. In addition, we have a wealth of codeshare and interline agreements that give us access to every corner of the earth. To best serve this network, we have rationalized our fleet. We removed 79 older aircrafts and added next-generation fuel-efficient aircrafts. We are improving our operating economics. This will also help us meet our environmental and other ESG goals in the interest of all stakeholders and rightly of increasing importance to the investment community. Our wide-body fleet includes the Boeing 777 aircraft with its competitive CASM and its seat configuration ideally suited to the high volume leisure and VFR markets that we expect to rebound first. These are complemented by the Boeing 787 aircraft with its lower operating costs, mid-sized capacity and range flexibility. We're also renewing the narrow-body fleet. We're replacing older, less-efficient aircraft with modern and fuel-efficient Airbus A220 and Boeing 737 MAX aircraft types. The A220's range capabilities and economics create greater deployment opportunities, enabling Air Canada serve new markets still suited to larger narrow-body aircraft. This month, we returned the Boeing 737 to service. Its range gives us added network flexibility, maintenance cost advantages and greater fuel efficiency than the aging narrow-body aircrafts they are replacing. Further supporting our network are Air Canada's Toronto global hub, as Lucie mentioned, and its gateway hubs of Vancouver and Montreal. Not only are these hubs well positioned to capture global traffic flows, but have the benefit of a strong local multicultural population base to help sustain our international network with both origin and destination traffic. Despite the severe restrictions imposed by COVID-19, we have not forgotten the vital and differentiating importance of customer service. We provide a customer experience enhance by competitive products and services, including lie-flat seats in Signature Class cabin, concierge services, Maple Leaf Lounges, and the Air Canada Signature suites. Onboard amenities such as in-flight entertainment and Wi-Fi in a range of fair products tailored to appeal to each market segment. Prior to COVID-19, Air Canada was named the best airline in North America for eight to 10 years and it remains North America's only four-star network carrier by Skytrax. Our focus on customer-friendly innovation is carried on throughout COVID, with new touchless airport services and technology like biometric boarding. These innovations will remain in place post COVID-19 because they are convenient and can speed airport passage. Further enriching the customer experience and securing loyalty will be the transformed Aeroplan program we launched in November. The program now offers a wide range of new features such as improved volume on flight rewards, Aeroplan family sharing, the ability to use Aeroplan points for travel extra such as cabin upgrades and in-flight Wi-Fi, and expanded merchandise rewards. Elite Status members have access to new benefits, including priority rewards and status pass. To further leverage our loyalty program and drive profitability, there are new Aeroplan co-branded credit cards issued by TD Bank, American Express, and CIBC. In late 2020, JPMorgan Chase and Air Canada announced the strategic partnership that will make change the exclusive issuer of the airline's Aeroplan US credit card, giving us wider access to the US loyalty market. Air Canada has many other attributes, some of which such as our rich heritage predate our transformation, but a final element that frankly I regard as most important of all is the entrepreneurial culture that has taken deep root at our airline. That culture and the strong commitment and just do it mindset of our employees is now ingrained in our DNA and was fully on display as we responded to the COVID prices. So while my tenure is ending, I know that Air Canada's continued pursuit of excellence with Mike's leadership [indiscernible], Air Canada will continue to innovate and evolve, always focused on safety and the customer and enhancing new products and services. Thank you. Now, we'd be pleased to take some questions, operator.
Operator: [Operator Instructions] The first question is from Konark Gupta with Scotiabank. Please go ahead.
Konark Gupta: Thanks, and good morning, everyone.
Calin Rovinescu: Good morning, Konark.
Konark Gupta: Good morning. My first question is on the Q1 cash burn guidance. So we obviously know the Mexico-Caribbean flights expansions get out and there is some incremental international routes. Just wondering if this guidance reflects the new hotel quarantine rule that has been proposed by the government. Not sure if that has been implemented yet, but just curious as to your thoughts what's included in this guidance and is there any conservative's baked [ph] in, in case some of these decisions or rules do not materialize.
Mike Rousseau: Good morning. It's Mike. We have estimated the impact of that and it is included in our guidance.
Konark Gupta: Okay. Thanks, Mike. And any sense on when this rule is going to be in effect, the hotel quarantine?
Mike Rousseau: We would say over the next couple of weeks.
Calin Rovinescu: Yes. And the government has indicated sort of notionally mid-February, which of course is where we are now. But I would say, as Mike says, over the next couple of weeks and it's possible that we could see announcements very shortly.
Konark Gupta: Okay, thanks. And a long-term question, perhaps on the fleet. So it looks like you have already removed about 46 aircrafts out of the planned 79, and I think you're keeping some Airbus A319 for some more time. So with the 34 aircrafts coming between, call it, A220 and MAX through 2023 and probably the 33 A319 going out over this timeframe, it looks like the fleet size should be stable at current levels for mainline and Rouge, and that would be about 20% versus the pre-pandemic levels. So the question is, I understand the MAX was grounded in 2019 before the pandemic, but how much of the pre-pandemic capacity can you achieve with this 20% smaller fleet in the long term?
Mike Rousseau: It's Mike again. Great question and something that we've been heavily focused on, because we want to balance flexibility with recovery plan as well. There's no doubt the Airbus A319 which we own, for the most part, provide us a fair amount of flexibility over the next couple of years. They're good aircraft for us and they again do provide us a fair amount of flexibility. To specifically answer your question, the current fleet plans, as it sits, does get us back fairly close to 2019 levels, and we're comfortable with that, because we can all -- if the recovery happens quicker, which we hope it does, there are planes available in the marketplace that we can chase. And we will -- we know where those plans are and we'll certainly take full advantage of that. But we think we found the right balance between risk management and taking full advantage of a quick recovery.
Konark Gupta: Yes, that makes sense. And the last one from me. You mentioned about the operating leverage given the fixed cost you're taking out of the system, an intention to not fully creep back those fixed costs to them when the recovery takes place. Can you help us understand how do you look at the long-term picture with the fleet plan you said gives you full capacity? Where does profitability sit in that scenario compared to 19% or so you had pre-pandemic? Or is it possible because of the Aeroplan being more incremental here perhaps and the MAX coming back? Do you think the margin probably has more upside beyond 19% with this capacity?
Calin Rovinescu: Certainly. We can't provide the guidance right now, but certainly a lot of the key elements are in place. Our fixed cost structure is down. We have much more efficient planes in our fleet. And we have a much stronger Aeroplan program to leverage. And so, certainly our objective is to enhance margins as we recover and we certainly seem to have the strategic initiative to do so.
Konark Gupta: That's great. Thanks for the color.
Operator: Thank you. The next question is from Hunter Keay with Wolfe Research. Please go ahead.
Hunter Keay: Hi. I think that's me actually. Good morning, everybody. This is Hunter. So, if we assume business travel gradually improves over the next few years, how are your views on how the long haul premium cabin market demand will evolve along with it?
Lucie Guillemette: Hi, it's Lucie. So, we definitely assume that the business traffic will return and we feel, certainly for the North American markets that we are going to have the perfect product with the 220s in the 737s. I mean, basically there -- it's a unique product for premium. And on the international front, on the long-haul markets, we are in a bit of a unique opportunity here, because our cabins when you look at the actual LOPA that we have on our wide-body airplanes, we're perfectly positioned to be able to see this demand ramp up, but also at the same time take advantage of the more VFR markets. So because our low price in the premium long-haul markets are still efficient, we feel that we will be in a very good position when the demand starts to return.
Hunter Keay: Thank you, Lucie. And then, I was wondering if you might talk briefly about the potential for government aid in the context of what's on the table, and we saw sun wing obviously reaching agreement and I think they had a framework of some customer refunds embedded in there. If you can talk about that maybe as a template for how you guys are framing the conversation and fold in any conversations you may be having about potential domestic testing mandates, if that's on the table, if you've heard anything about that. Thanks so much.
Calin Rovinescu: Sure. Hi, Hunter. It's Calin. So, I mean I'll tell you what I can and obviously there are some restrictions around, but I can't [ph]. So basically the government announced in November, a desire to get into dialog with the larger carriers to try to establish a framework for a sector-specific program and that was announced on or about November 6. But I would say that this is why I referenced in the press release of today that really for the first time, we view that the discussions we've got to more advanced nature over the last several weeks. So, we have not previously made any statements about our expectations or perspectives or views on sector support. Today, we felt comfortable to include that statement in our release of this morning, and of course, I referenced that as well in my comments to the analyst community. So what does that mean? That means that basically the discussions have picked up a pace that I would characterize as more of a negotiation that is more in line with something that leads to an outcome and I'm more confident that there can be no comedown [ph] than I was, say, a month ago. But of course with the usual caveats, as I indicated, both in the release and in my remarks, there is no guarantee, but I'm really for the first time confident that does include the three policy-related considerations that government mentioned in November, which we restated in our press release of this morning, namely an agreement on refunds and understanding on regional routes and return to regional -- some of the regional markets, as well as some form of support for the Aerospace sector. And so, those are forming part of the discussion. Of course, I can't elaborate on any of those three, but our expectation is that there will be something on all those three that will come up. And I think that our discussions are of course different, our financial position is different, our size is different, our global footprint and our regional footprint is different in some way. And so, I think the kind of agreement that we're looking to establish is different than what they would have had, I would say, and that's probably as much as I can say on the topic at this stage, Hunter. On the second point, on the testing, we have -- as you heard in my remarks, we pride ourselves to really being at the forefront of what is going on in Canada in the testing environment. We did that largest of its kind in the world test with McMaster HealthLabs on arrival testing that have tremendous amount of data -- very rich data that is now being assessed. And we really believe that the silver bullet here is a very, very effective testing protocol that replaces the blanket restriction that replaces the quarantine. And we've been making that case to government, we've been making it both privately and publicly. We have tremendous amount of science behind our data, that really the next step is to ensure that we have something that shows that the quarantine kind of first instance be reduced, consistent with the various authorities, including the WHO, the strategic say in some of the -- where these are all sent for disease control. These are all indicators that the quarantine is more appropriate 5 to 7 days, and so we will continue to make that case. And with testing on arrival, that does provide a lot of flexibility to ensure that we quarantine the people who need to be quarantined, who have some traces of the infection and to -- the virus, I should say, and to let the people who are not -- who don't have the virus go or have a reduced quarantine. So, those discussions are ongoing. A part of the discussion around the sun destinations and you saw that both in our remarks as well as in the Prime Minister's remarks. If you -- for those that are interested in reading the Prime Minister's remarks around this, Prime Minister clearly indicated in his remarks around the suspension of the sun destinations that working collaboratively with the Canadian carriers, it would be seeing us being a pathway to replacing the right time, the blanket travel restrictions quarantines, other prohibitions with a testing regime, and science-based measures. And so, that is directionally where this has to go. Right now, that date is April 30, it's the date by which we expect that the sun destination restrictions are lifted, and quite frankly, that's the date by which we expect that there will be an improved dynamic with respect to testing, replacing some degree quarantines.
Hunter Keay: Thank you, Calin.
Operator: Thank you. The next question is from Kevin Chiang with CIBC. Please go ahead.
Kevin Chiang: Thank you for taking my question. And congratulations again, Calin, on your retirements here.
Calin Rovinescu: Thanks, Kevin.
Kevin Chiang: Maybe, Lucie, just on your cargo comments, obviously that has been a several lining for the airline in 2020, you have the two coming in later this year. I believe it and correct me if I'm wrong, I think you allocated up to potentially seven 767 that could be converted over time. Just wondering how do you think of the timeline of converting more aircraft to take advantage of the elevated, I think, strong freight market, both domestically and internationally. And what are the things that we should be looking for as you make that decision of expanding the fleet for more than two?
Lucie Guillemette: So, you're correct. In fact, the number is seven, it's what we are looking to do. One other comment on the cargo front, keeping in mind that as we progress through this period here, we have maintained some of our international services. And even if, on some of those international flights, the passenger demand maybe a little bit low, we continue to operate those flights in many cases, because we have an opportunity on the cargo front. So as we navigate our way through the arrival of the 767, we continue to have opportunity with dwelling [ph] on flights that we operate and we look to have conversions over time for the following five.
Kevin Chiang: Okay.
Mike Rousseau: And Kevin, it's Mike. Just to provide a little more color on the conversion. I mean, we'd love to have all seven up and operating by the end of next year. These are typically little bit of a longer process and slots are not really available, but we are certainly working on having all seven up and running by Q4 of next year.
Kevin Chiang: Well, that's perfect. That's very helpful. Maybe just last one for me here and I'll turn it over. On the Aeroplan partnership with JPMorgan, you're looking to tap into the US market here with your loyalty program. I'm just wondering if anything I can infer in terms of how you think about sixth freedom traffic coming out of this pandemic, and maybe specifically, how you think about your transborder network in the recovery. Is that an area of maybe greater strength? Is that what I should be reading into as I think about this pushed by Aeroplan into the US?
Calin Rovinescu: Yes, Kevin. Let me first start and then I'll turn over to Lucie. Yes, exactly. Look, I think that for us, we know that the sixth freedom traffic has been a big part of our decade. That was a big, very, very specific strategic driver that we identified, went after, and as we built our international network, the sixth Freedom markets in the US, it was a very big component of that and it served us extremely well. Good occupancy on flights to many of our European destination, a lot of US traffic onboard. For sure, we would love to return to those days. But obviously, with the border restrictions as they are and the complexity we know that that's going to take a little bit of time to recover, and so as the recovery occurs, as the border restrictions are lifted, we certainly expect Aeroplan and the Chase partnership to be a key tool to getting some reverts to that sixth freedom traffic. But certainly, our expectation is that it's not an overnight kind of a thing, certainly evolving travel restrictions are in place. Lucie, I don't know if you want to add anything to that.
Lucie Guillemette: Yes. The one thing I'd add again, as well is keeping in mind that the recovery will be not just in Canada, obviously the recovery will be around the world. So for us, when you compare what we can offer on a one-stop basis connecting over Canada, basically it becomes a product that's very similar to what many of the US carriers are going to be operating as they also recover. So there's less non-stop flying, which also means that for us the opportunities even bigger. And as we start to rebuild our transborder network, we're going to do that with obviously an eye on the sixth freedom market as well. So, we'll be sure that as we re-introduce our transborder flying, it connects well into our international product, but there is absolutely no doubt that as we move forward, this will be a bigger opportunity even than it was in the past for us.
Kevin Chiang: Thank you for the insight. Thank you.
Calin Rovinescu: Thanks, Kevin.
Operator: Thank you. The next question is from Walter Spracklin with RBC Capital Markets. Please go ahead.
Walter Spracklin: Yes, thanks very much, and best of luck to Calin on your retirement.
Calin Rovinescu: Thank you.
Walter Spracklin: Yes, let's ignore Transat altogether and just ask the question. If the government were to institute a price monitoring mechanism, how would it do that?
Calin Rovinescu: No. So, first of all, we would view any restriction on pricing as obviously being some form of re-regulation pricing, which would not be a good dynamic all around. But if one was to institute a monitoring system, a monitoring system means sort of reporting as to how markets have evolved over some period of time, snapshot at a period of time, and I think that that is all that references.
Walter Spracklin: Okay.
Calin Rovinescu: It's a sort of retrospective analysis of pricing trends.
Walter Spracklin: Yes, okay, that makes sense. Calin, when you look at or Michael either, when you look at the different government support packages or frameworks that had been provided around the world in different jurisdictions, what ones would you say would fit very well for Air Canada in a Canadian context? In other words, what seems to, in your mind, be a reasonable, achievable, and very effective government support program that you've seen some in another jurisdiction?
Mike Rousseau: I think, Walter, the one that's closest to our hearts is some modification of the US CARES Act. That had two different pieces obviously, a fairly aggressive payroll support program and then a loan program over a five-year period. And so, we compete with US Airlines. So we think that a similar program, maybe with some Canadian modifications would best suit the airline industry up here in Canada.
Calin Rovinescu: Two things that I'd add, Walter, to that is that you also have to bear in mind timing, right? The other time, place and circumstance, so now we're talking about this a year later, almost a year later in the US talked about and received the CARES program, which means that you end up doing things in the consequence of that decision. And so, the things that we had to do last year including burning demand on liquidity, taking the aircraft as we have, allowing other competitors, and you've heard ourselves and other Canadian carriers make the statement that several international and US competitors manage to continue growing and improving relatively speaking in a shrunken market. So, that has to be taken into account as well. The fact that we're talking about this one year later than most of the other large carriers the world receipts towards from their governments and so that has to be looked at through that lens, because what might have otherwise been acceptable a year ago may be different at this point in time.
Walter Spracklin: Yes. That makes sense. Just on Cargo, I've looked at your 767 primarily is dedicated toward your international cargo opportunity, you're talking now about an e-commerce that sounds like a domestic, but that seems to be belly capacity aimed toward the e-commerce customer. Correct me if I'm wrong. And if that's the case, what -- how would that impact your regular passenger business? In other words, if it's different than the belly capacity that you provided before, whatever makes that different, is that going to negative at all, negatively impact your passenger airline capabilities?
Mike Rousseau: Walter, it's Mike. You're right in your assumptions. But we do not believe that has had any impact on our passenger, because we do have excess space available in our bellies, going across the country and so we're looking at utilizing that asset much more efficiently as we go forward.
Lucie Guillemette: Yes. It's Lucie. II would just add as well. If you look at some of the core markets within domestic Canada, transcon, for example, we already have wide-body aircrafts that operate on some of those routes to accommodate some of that cargo demand and we still have plenty of room to be able to accommodate it. So it would not have an impact on our North American network at all.
Walter Spracklin: Thank you very much. And just a housekeeping. You included cash financing in your cash burn. Can you indicate how much cash financing is included in your new guidance for Q1?
Mike Rousseau: I think it's CAD2 million a day.
Walter Spracklin: CAD2 million a day. Okay. That's all my questions. Thanks very much everyone.
Calin Rovinescu: Thanks, Walter. And to the rest of the community here, we have a hard stop around 5 to 10, because Mike and I are needed at our Board meeting, so just to be mindful of the time for the question. Thanks.
Operator: Thank you. The next question is from Savi Syth with Raymond James. Please go ahead.
Savi Syth: Hey, good morning, everybody. Just a follow-up on the answer to Hunter's question on testing replacing quarantines on April 30. So, if you could kind of share what magical about that date. Is that when you think there is sufficient supply and infrastructure in place? Is it improvements on the vaccine front or kind of just exiting winter season? Just wondering why April 30th.
Calin Rovinescu: So, that's a great question, Savi. So, first of all, the April 30 starts with the fact that that was the date that was requested by government in connection with our the Canadian industry suspending flying to the sun destinations to the Caribbean and Mexico. But we also have looked at that date as being the reasonable date that is a sort of, from our perspective, as a reasonable proxy for a date by which we get out of the colder winter season and get into a summer dynamic, and also allowing for enough time to establish more comprehensive airline testing capabilities, because it does take some time. It cannot be done overnight. So, given the government's request on April 30 being the sun destinations, the government's statements around the summer being a period of time where we will open up to domestic Canada, because remember, we still have restrictions in many of the provinces of the Canada, so we need to open up domestic Canada for travel freely and as well having enough time to establish testing capability because of course that we start on it today on February 12, by April 30 with good hard work, we should have it certainly at the key airports in Canada. That doesn't mean that it will be completely -- likely will not be completely eliminated. But we do see the potential for it to go to five- to seven-day quarantine, which is consistent, as I say with the CDC and WHO and other recommendations like that. So it's a transitional phase. So it's a little bit of all of the above what you said. It's a combination of heading from winter to summer, combination of getting enough time to start testing capabilities consistent with the date that the government established on the suspension of sun destinations, and really a good segue to having sort of not losing a second summer travel for the industry.
Savi Syth: That makes sense. And Calin, as you did the things open up, I was just kind of curious as capacity starts coming back, what should we expect in terms of cost? And I'm sure there's crew training to get current again and the fleets that are grounded, how should we think about kind of the cost ramp heading into the summer?
Calin Rovinescu: Well, [indiscernible] turn to Mike. But I think that we got especially our pilots and especially because of the fact that we are also training for the 737 MAX. And if you look at the total number of employees that Air Canada has kept on the payroll, remember, we've kept about 50% of our employees on the payroll, even though we're operating at less than 20%; in fact, right now, 10% of our 2019 levels. In fact, 50% of our employees kept. So, we are mindful to ensure that we are training to that ability to ramp back up as things turn that obviously. While keeping our cost relatively under control with the benefit of the CEWS program, we're able to keep more people employed and at the same time, keep more of our crews [indiscernible].
Mike Rousseau: Just a little more detail. I mean there will be some small incremental cost, immaterial cost on maintenance to bring the planes out of storage, but for the most part of scale and said we kept our pilots current. And so, there should not be a significant ramp up in cost as we go back into the market.
Savi Syth: Helpful. All right, thanks, and best wishes for the next chapter, Calin.
Calin Rovinescu: Thank you so much, Savi.
Operator: Thank you. The next question is from Tim James with TD Securities. Please go ahead.
Tim James: Thanks. Good morning, everyone. I guess just my first question looking at the MAX, which started service very recently, and you've obviously been offering bookings on it. Are you seeing any customer hesitation, i.e., booking away from the MAX flying? Or is it too difficult to gauge at this point given the low overall traffic levels?
Calin Rovinescu: No. For sure the traffic levels are lower, but we are seeing no negative customer reaction. And I think that it's as simple as that. I think obviously, our crews were well trained. We ended up taking our time before we introducing it. So thus far, we've seen nothing in terms of customer reaction.
Lucie Guillemette: And Tim, if I can just add. In anticipation of the return, we also had a very transparent communication with our customers and we had policies ready if customers did feel a little bit uneasy that we were prepared to be able to offer changes on site, but since the start -- since the return to service, we have had virtually no request to do that.
Tim James: Okay, great. That's good. My next question; I'm just wondering maybe a question for Mike just start with, I suppose. Could you reflect back on 2020 overall and talk about how the airline was able to flex down costs, which was really impressive, I think, when we look back? But relative to your expectations back in March and April, when I'm sure you were kind of scrambling to figure out what could be done, what ended up being different where you sort of weather more changes that you were able to make or was it more challenging? And then we should -- let's exclude labor from the conversation here and maybe just focus on other notable parts of the cost structure.
Mike Rousseau: Yes, you're right, Tim. The original target of 500 in hindsight was certainly not as aggressive as we otherwise could have put in place, but I think couple of things. One, our teams have done a great job with our partners renegotiating contracts, one either to reduce the cost structure, or two, transfer fixed cost into variable costs; and so, both of those initiatives have reduced overall fixed cost structure. And obviously, it is an eye opening experience for any airline, and certainly, the objective is to make more of the cost structure variable given the amount of flying we're doing. And so, I think that second bucket of making fixed cost more variable was the one that we probably over exceeded our expectations on and with large part of the difference. Again, the CAD1.7 billion was also capital reductions or deferrals that have those -- capital reduction deferrals have those cost reductions and we are certainly aggressive and had difficult discussions with Boeing and with Airbus on removing some of the fleets and for pushing them to the right. And so, I think it's hard to estimate those type of benefits going into it, but certainly, I think from a capital perspective and from moving fixed into variable perspective, we exceeded our expectations. The other thing, Tim, to bear in mind is that we, of course, didn't know the depth and the length of this and of course, as the year round, we ended up obviously having to cut deeper and deeper and again I'm not talking about labor, I'm talking about all the various contractual relationships moving things to variable, and of course, some of that CAD1.7 billion is capital deferral as well, right? So -- and then, we ended up doing the same thing for 2021 and 2022 already with respect to our aircraft and Boeing and Airbus capital removals. And so, we ended up going on a very -- we ended up coming to the conclusion, this is going to be -- remember, we said early on, it's going to be three years, people are surprised and came out better early with that prediction. But we said it's going to be at least three years. And so, we ended up progressively taking steps throughout the year to ensure that we would have the financial bedrock not only in 2020, but also 2021 and 2022.
Tim James: Okay, thank you. And just one more quick question, if I may. I just want to return, you've talked a little bit about the kind of business travel, corporate travel. I'm just -- are you hearing any indications from corporate travel departments in terms of future intentions? And then give any thoughts you might have on what business travel will look like in two years relative to what it was in 2019.
Lucie Guillemette: At this point in time, Tim, we are in contact obviously with our corporate customers on a regular basis. As it stands, we know that many of the policies in place to limit travel, business travel, but at this point, we're not hearing any feedback that things will be extended further. I mean, we do know that business travel will take longer to return. But when it does, the ramp-up should be relatively great. But at this point in time, I mean, obviously the corporate demand is still at same levels as it was during 2020. There is very, very little.
Tim James: Okay, great. Thank you, Lucie.
Calin Rovinescu: Thanks, Tim.
Operator: Thank you. And the next question is from Chris Murray with ATB Capital Markets. Please go ahead.
Chris Murray: Thanks folks. Good morning. Hi, Calin. Congratulations on your retirement. First question is maybe for Mike. So Mike, you got about CAD1.2 billion [ph] of debt that's current right now, which is a bit of a higher number than previous years. So, I guess a couple of thoughts on this as we move through the year. How are you thinking about kind of the strategy around debt management? You have some more high yield notes that are in there. And how would you think you would manage some of that debt repayment if, for instance, the government program doesn't come to fruition?
Mike Rousseau: Yes. So it's a little bit higher this year because of a US $400 million unsecured coming due in April and that normally would have $800 million a year roughly coming due from various amortizations of maturities. You're absolutely right, Chris. Our focus right now is the government support package and again a skilled, and we've said, we're optimistic that we'll reach reasonable deal in time certain. Feeling that, we'll look at different alternatives as to whether we want to replace $400 million or just absorb it and also the debt markets are still open, they are still attractive to Air Canada, and we will certainly take full advantage of them, if we have to.
Chris Murray: Okay. I mean -- I guess, I'm trying to think about is the news kind of in a more normal operations, maybe in 2022. How should we be thinking about your plan on bringing debt back down to kind of pay back, if you will, some of the funds you've had to draw there to deal with COVID?
Mike Rousseau: Well, [indiscernible] a lot. Of course, that will depend on the recovery. As you've seen, we've cut back our capital plan over the next couple of years. And so I think that's a good first step in taking the cash flow that we are otherwise with, it's been CapEx and we will focus on debt. I mean, Chris, for years, our focus was balance sheet management and it will continue to be balance sheet management. We will always balance the strategic and competitive importance of the company, but the balance sheet also plays incredible part. And so, we do not see that taking a different approach going forward than what we had in the past.
Chris Murray: Okay, that's fair. And then my other question, maybe Lucie, I don't know if you want to take this one, but just trying to understand. In the new Aeroplan program, given the -- maybe some of your air travel is still going to be restricting until maybe the second half of the year, can you maybe walk us through about how some of the non-Aeroplan benefits would work through the system for you guys?
Lucie Guillemette: You mean in terms of performance through the types of…
Chris Murray: Yes. And in terms of performance really is what I'm trying to understand is if there was any changes in the program that either gives you guys additional revenue opportunities or anything like that.
Lucie Guillemette: Yes, for sure. And as I mentioned a little bit earlier in my comments, one opportunity for us is, when you look at the spend on the credit card, that has shown a lot of resilience. So from that perspective, it is a good revenue stream for us and we have further opportunities to be able to announce in the relatively near future. So from that perspective, even if obviously travel is a sector that's most impacted, we still have great opportunities on -- in other areas.
Chris Murray: Okay, that's helpful. Thank you very much.
Calin Rovinescu: Thank you, Chris.
Operator: Thank you. And the next question is from Cameron Doerksen with National Bank Financial. Please go ahead.
Cameron Doerksen: Thanks very much. Good morning. I'll just maybe just ask one question and it, I guess, sort of goes back to an earlier question, just with regards to I guess the sort of long haul premium traffic opportunity. And I guess the question is, if VFR traffic is sort of the first to come back or leisure traffic first to come back on some of these international routes when travel restrictions eased, does it make any sense to sort of reconfigure the -- your seating in the wide-body aircraft? I mean I'm thinking sort of premium economy would be a product that would be perhaps more in demand and in all if other airlines have kind of indicated that premium economy is a pretty profitable product for them. So, I'm just -- if you could maybe talk about the ability to reconfigure seats within the aircraft.
Lucie Guillemette: I think that's a great question. But in fact, the seating that we currently have on our wide-body airplanes is actually perfect for what we are facing. So we do have a good -- in terms of LOPA, we have a good seating for premium economy. So we do have potential to be able to get some really good yield opportunity to buy up into the PY cabins international. And because our premium cabins are not as large as many other competitors, we are actually right sized for the demand that we have. In past years, we had a pretty significant yield upside compared to many others as a result of that low part. So as we go into the future, it's actually a good opportunity for us to not have to even consider reconfiguring wide-body airplanes to better fit the demand. What we have is actually going to be perfect for us.
Cameron Doerksen: Okay, that's great. I'll leave it at one question. Thanks very much.
Calin Rovinescu: Thanks, Cameron.
Operator: Thank you. The next question is from Jamie Baker with JPMorgan. Please go ahead.
Jamie Baker: Hey, good morning everybody. Most of my questions have been answered. I know we're short on time. So let me jump right in. Once you're back to 2019 capacity levels, how much improved do you expect your ex-fuel cost structure to be? Again, curious if this analysis takes into account the freighter conversion in the Transat integration.
Mike Rousseau: Yes, Jamie. We have certainly some internal objectives. We're not ready to share those with the market right now, like some of the US airlines have done. And it does depend on your assumptions around the freighter helping the freighter businesses, escalation of cost over that period of time. But certainly, like most airlines, our objective is to become more efficient.
Jamie Baker: Could you at least give some goalpost as your analysis start in a single-digit percentage category and in double-digit category? Is it all single digit, something like that?
Mike Rousseau: We're just not ready at this time to provide that color.
Jamie Baker: Okay. And second question and I apologize for missing the earlier clarification. The aircraft financing is included in the cash burn guidance, so it's included in that net CAD2 million a day.
Mike Rousseau: Yes, it is.
Jamie Baker: Okay, perfect. Thank you. Take care, everybody.
Calin Rovinescu: Thanks, Jamie.
Operator: Thank you. The next question is from Stephen Trent with Citigroup. Please go ahead.
Stephen Trent: Good morning, everybody, and thanks for taking my question. Most of my questions have been answered as well, but just one quick one for you in the interest of time. When we think about ESG goals, your Star Alliance partner south of your border, for example, highlighted some collaboration with an electric plane developer. How are you guys thinking about aside from the re-fleeting carbon capture programs or kind of your longer-term view? Some color on that would be helpful.
Mike Rousseau: Stephen, it's Mike. A great question and something we're very, very focused on. We haven't announced any longer-term goals. We've been actually a leader in this area and we are exploring all the different areas, including alternative fuels. We are working with the United on some things as well and sharing some information. We will, over the next little while, spend a fair amount of time looking at what kind of goals we want to publicize and so stay tuned on. Let's provide that information to the marketplace.
Calin Rovinescu: Another point [ph], Stephen, to that as well. It's Calin here. We -- in fact, we've been the leader in this area, but of course in 2020, we were quite five in this area. And now, of course, it was as a result of extreme distress that the airline industry was under. But in addition to alternative fuels, we are actively looking at a carbon capture solution. We're also listing, as Mike mentioned, this is something that is at the level not only of Air Canada's Executive Committee, but right up to the level of the board. And I think this is one of those that I'd say watch that space and unlike what is a great thing to that with our environmental ESG team, very, very specific things, and I suspect that it will be unveiled over the coming months for sure, later this year. We have a very specific target as an industry, as you know, through CORSIA, which is one level. We also have some requirements inside Canada and we have some requirements potentially in other jurisdictions like Europe as well. But leaving all that aside, there is some very specific target that our Canada itself has, which have been worked on well before the 2020 year and which were put on cost in 2020.
Stephen Trent: I appreciate that. Thank you very much, Mike. And congrats on your retirement, Calin. I appreciate the time.
Mike Rousseau: Thank you very much.
Calin Rovinescu: Thank you very much, Stephen.
Operator: Thank you. And this will conclude the question-and-answer session. I would now like to turn the meeting back over to Ms. Murphy.
Kathleen Murphy: Thank you, Alina. And thank you, everyone, for joining us on our call today. Thank you very much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.